Operator: Good morning. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to the Civitas Resources’ Fourth Quarter 2023 Earnings Conference Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Brad Whitmarsh, Vice President of Investor Relations. Please go ahead.
Brad Whitmarsh: Thank you, Audra. Good morning, everyone and let me say that I'm thrilled to be a part of Civitas, a great team with great assets and a forward-thinking vision. I'm joined today by our CEO, Chris Doyle; CFO, Marianella Foschi; and COO, Hodge Walker. Today's webcast and conference call coincides with our fourth quarter 2023 and 2024 outlook release. Our published supplemental slides and the 10-K all of which were published on our website yesterday. In addition, we've announced the large share repurchase transaction yesterday afternoon. So hopefully, you've had a chance to get through all of the materials that we have provided. During this call, we will make certain forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ materially from our projections. Please read our full disclosures regarding forward-looking statements and other disclaimers in our earnings materials and most recent SEC filings. We may also refer to certain non-GAAP financial metrics. Reconciliations of these items can be found in our earnings release and our SEC filings as well. After prepared remarks, we look over to a question-and-answer session. As always, please limit your time to one question and one follow-up so we can work through the least efficiently. I'll now turn the call over to Chris for opening comments.
Chris Doyle : Good morning, everyone, and thanks for joining us today. Let me also welcome Brad to the Civitas team. There are three primary things I want to cover today before we take your questions. First, a quick recap of the significant progress we've made over the last year. Civitas is a remarkably different and stronger company today. Next, I'll share a few highlights from our fourth quarter and 2023 financial and operating results. Finally, we'll discuss our 2024 outlook and how we're extremely well positioned to create substantial shareholder value moving forward. Our '24 plan has been optimized compared to our previous outlook as we reduced our capital expenditures by $150 million, while maintaining our expected full year production. So let's get started. A year ago, Civitas was a small cap single-basin company focused solely on the DJ. Production was approximately 170,000 barrels of oil equivalent per day. And while our DJ Basin assets were and continue to perform exceptionally well, we have limited flexibility in how we allocate our capital. Using our strategic pillars as our North Star, we've been working to enhance the Civitas investment thesis and portfolio for nearly two years now. Being on the forefront of this consolidation wave, we looked at a significant number of opportunities to diversify, scale and strength in our business. During 2023, our team successfully entered a second world-class base in the Permian through three separate large-scale transactions, all at compelling valuations. The transactions added scale and diversified our operations across two of the lowest breakeven oil basins in the U.S. as we more than doubled our production, doubled our reserves and doubled our inventory of high-return development wells. We have all of the key ingredients to deliver long-term value for our shareholders. An exceptional team, high-quality assets, inventory depth, a strong balance sheet, significant free cash flow and a track record of returning that cash to owners through cycle. We've significantly transformed Civitas over the last year and our future has never been brighter. Shifting now to 2023 results, I'm very pleased with our performance last year as our full year results were in line with guidance. What our teams were able to accomplish operationally and financially amidst the ongoing transformation at Civitas is remarkable. While our equity valuation is yet to catch up to our new asset base, we're confident we'll close this gap and deliver for our shareholders for years to come. Shareholder returns are one of our four strategic pillars and last year, we returned nearly $1 billion to our shareholders. 2/3 of this was in the form of dividends and 1/3 in the form of share buybacks. Now over the last two years, we've given back more than $1.5 billion to our owners and that represents nearly 25% of our market cap. Fourth quarter production was 279,000 barrels of oil equivalent per day. DJ basin volumes outperformed expectations once again with strong productivity in our Watkins area, which is in the southern part of our DJ acreage. Fourth quarter Permian production was impacted by facility upgrades to some of our higher oil cut production in the Delaware. These upgrades were completed in November and we exited this year strong, with December 2023 Permian production averaging 120,000 BOE per day, 50% of which was oil. We took over operatorship of the Midland Basin assets late in the fourth quarter and our early performance is encouraging as we're already seeing efficiencies through reduced drilling days and improved cycle times. Earlier this month, we took over complete control of the Delaware operations. I'm confident we'll achieve similar operational improvements throughout the year. With our Permian leadership team now fully in place, we have the right people, work in the right assets and we're primed to ready to deliver. Needless to say, I'm very excited about the opportunity ahead of us in the Permian. Year-end 2023 proved reserves totaled nearly 700 million barrels of oil equivalent, up about 70% from last year. This was largely driven by the Tap Rock and Hibernia acquisitions. None of the reserve numbers include Vencer, which closed January 2, and will add significant reserves in 2024. Finishing up 2023, Civitas continued building a sustainable business, enhancing our environmental health and safety performance. Last year, we further reduced our total recordable incident rate and our score count and through a pneumatic device retrofit program, we reduced CO2 emissions in the DJ by 420,000 metric tons, another amazing accomplishment by the Civitas team. We'll continue these efforts in the New Year and we're bringing our expertise and bringing our approach to the Permian. Shifting now to our 2024 outlook, our optimized plan focuses on three primary objectives; first, continuing our momentum in the DJ and successfully integrating our new Permian assets. Second, maximizing free cash flow through disciplined and returns-focused investments. And third, maintaining our industry-leading shareholder returns while also improving our balance sheet. As I mentioned earlier, we enhanced our '24 plan by reducing CapEx 7% or $150 million while maintaining our production outlook. These planned improvements were achieved through optimized activity levels and reduced cycle times across the business along with productivity enhancements in the DJ. Our CapEx will be more weighted to the first half of the year, primarily as we're coming off higher legacy activity levels in the Permian. Production volumes are anticipated to increase modestly through the year. First quarter oil volumes reflect a new takeaway agreement in the Rockies where we have some line fill inventory to build. This agreement represents over $100 million in incremental value to Civitas over the next five years, and we're excited about it. Net of the line fill, net of weather impacts, January production still came in at 325,000 BOE per day. About 60% of our 2024 CapEx will be allocated to the Permian, where we're targeting 130 to 150 gross wells this year. Approximately 70% of our Permian lines will be in the Midland, with the remaining 30% in the Delaware. Because we've only recently taken over operatorship of the Permian assets, we've kept our drilling completion and facility cost was flat versus our acquisition assumptions. As such, the opportunity to drive capital efficiencies in the Permian is significant and I expect we'll have meaningful updates later this year as we establish our performance track record in the Permian. The remaining 40% of our anticipated CapEx will be allocated to the DJ, where our core Watkins development area continues to impress. Based on recent production performance in Watkins, we raised our expected recovery in our near-term development area by 10% versus prior estimates. The majority of our 2024 DJ basin activity will be in the Watkins area. In January, we filed our third comprehensive area plan in Watkins. We expect the previously submitted Lowry CAP to be approved in mid-2024 and the latest Arapa CAP to be approved late this year or early 2025. Including the initial Box Elder CAP, these three caps represent nearly 80% of the remaining 300 or so locations in Watkins, and most of the non-CAP locations are covered by an existing OGDP, so we feel very confident in our plans and outlook in the DJ for the next several years. We're maintaining our peer-leading shareholder return framework at $75 oil and $275 gas, we estimate free cash flow to be approximately $1.3 billion in 2024. Dividends, including base and variable are estimated at approximately $600 million this year or $6 per share, a nearly 10% yield based on our current stock price. In addition to our targeted divestment proceeds, the remaining $700 million in free cash flow will be prioritized for the balance sheet and opportunistic share buybacks like the one we announced yesterday, fully exiting NGP from our shareholder base. We now have approximately $425 million remaining on our share repurchase authorization. Our current trading level equates to a free cash flow yield in excess of 20%. We believe this is a tremendous investment opportunity considering the quality of our asset base and our low cost structure. Our commitment to the strong balance sheet is unwavering. Our long-term target for leverage is unchanged at 3/4 of a turn. Our divestment program remains on track. During the fourth quarter of last year, we sold a non-operated acreage position in the DJ with essentially no production at a compelling valuation. It's represented about 100 gross or 40 net non-operated locations. They're low working interest assets, where we had no control over development timing and the area was not in the operator's near-term development plan. Completed divestments to date total about 1/3 of our $300 million target. We're on track and confident that we'll complete the remainder by the middle part of this year. Wrapping up, let me go back to where I started my comments today. Civitas is a significantly transformed company with all the key ingredients to deliver long-term shareholder value. We are differentiated from our peers through scale, asset durability, cash returns to shareholders and an employee base that consistently delivers. Before we move to Q&A, I want to give a quick shout out to our field teams who have managed through some incredibly challenging weather over the last couple of months. Companies often talk about employees being their greatest asset and our Civitas employees approving it. Highlighted by our team recently limiting downtime in the DJ during an extreme weather event, where temperatures reached 30 below zero. I want to personally thank the men and women who work hard to deliver some of the lowest carbon barrels in North America. They do this every day, no matter what the weather looks like outside. Operator, we're now happy to take questions.
Operator: [Operator Instructions] We'll go to our first question from Neal Dingmann at Truist Securities.
Neal Dingmann : Nice quarter. My first question is on the '24 Permian production guide. I think you talked about 170,000 BOE per day around 140 wells that now include -- will include. So I'm just wondering, Chris, could you or the team give some color on the regional focus and maybe more importantly, what type of cycle times or operational efficiencies you believe are achievable now that you've got all the assets combined.
Chris Doyle : I'll kick it off and then kick it over to Hodge. In terms of the 2024 guide, as we mentioned, we expect to see production growth throughout the year. In terms of the split for the year, we're about 70-30 on TIL. 70% of the TILs will be from Midland, 30% from the Delaware. We like the production profile growing a little bit through the year, have started out the year very strong, coming off a really strong exit. In terms of capital efficiencies and how we've constructed this program, we're early on. It's early days, certainly. I love seeing the team already delivering 20%, 30% reduction in drilling days. We're also accelerating TIL times. And I'm excited with this team that we've built will do. We've not reflected any additional significant efficiency gains in either side of the Permian. So, we think it's the right way to set up 2024, and we think there's room to enhance as we go through the year. Hodge, do you want to jump in on some of the specifics?
Hodge Walker : Yes. Thanks, Chris. Neil, as you know, we're real early days with taking over operatorship. We just took over operatorship on the Hibernia assets here at the end of November. And on the Tap assets here just earlier this month. But -- to the point that Chris mentioned, the team has already got some early quick wins. We've high-graded some rigs out in the Midland Basin, seeing some improvements on drilling times by 20%. We're doing more modular builds versus stick builds, which help us accelerate facilities until timing. If you look at the broader efficiencies, it really is all about drilling completions and TIL timing. We are returns focused. Part of that return is really shortening that time from capital deployment to TIL. If we can consolidate some of that completion and bring revenue forward, we're going to do that.
Neal Dingmann : And then Chris, maybe my second one for you, just on shareholder returns to capital allocation. You all continue to have among the best payouts, even notable that this obviously this great NGP buyback and the leading dividend yield. I'm just wondering, we all continue with the same sort of systematic sort of return plan and just with the 50% plus and what and how flexible you are on buybacks versus dividends going forward?
Chris Doyle : Sure. I'll kick this off and then kick it over to Marianella. I think the first thing I'd say is we've built this track record of an all of the above approach. We look at what we've delivered through last year and even as we started 2024, a good mix between dividends and buybacks. And that really comes down to the strength of the assets and the teams that are managing those assets. I think it's important to understand the company was formed with a very clear mandate and that was to return cash to our shareholders. We've done that. We've chosen to do that. We'll continue to do that with a mix of the variable -- the fix the variable and buybacks. Marianella, what would you add?
Marianella Foschi : Yes, absolutely. Neil, if you look at what we've done to date, we have an extremely strong track record of doing so and returning cash to shareholders really as good as anybody. We completed nearly $400 million in stock repurchases at a weighted average price of $61 unchanged. So, obviously very attractive levels. We also paid $670 million in dividends during the course of 2023. And we said in the prepared remarks, we've returned 25% of our market cap to shareholders just in the last two years alone. And I think it's important to note that we did all of that while taking a meaningful step to diversify our asset base and afford ourselves just more capital allocation flexibility by entering into the Permian at very accretive multiples even if you look at it on a debt-adjusted basis. So going forward, you could continue to expect us to do just that. Just expect us to continue this strong track record of returning cash to shareholders through cycles, and like Chris said, and this is all of the above philosophy. We believe this philosophy has really served us well to date. And I would say, I mean, look, if you look at our equity prices, they don't really reflect the value of our high-quality asset base, which is why you saw us capitalize on that yesterday. If you look at our free cash flow during 2023 at $75 oil is $1.3 billion, which is over a 20% yield or said differently, we pay our entire market cap in under five years. And I will also note that we remain extremely committed to the balance sheet and achieving that 0.75x leverage target. I mean, look, we don't need to get there tomorrow, but for us, it's more so about taking meaningful steps and making meaningful progress towards that every single day. That's why you saw us come out with the asset sale program last year to accelerate that delevering target. And between our asset sale program and our free cash flow this year, we'll have about $1 billion is to be allocated to balance sheet as well as the buyback program. I mean, look, it's all a balance, right? I mean our focus is to create shareholder value if there's the opportunity to do that. And so, it's really just a question of balancing, making progress towards that leverage target and along with capitalizing on very cheap opportunities to buy our stock. And so I know I said a lot there, but I just wanted to give you a flavor as far as our decision matrix goes. And for all those reasons, I mean, we think our equity right now represents a very compelling entry point and Civitas is well positioned as good as anybody to capitalize on that.
Operator: We'll go next to Tim Rezvan at KeyBanc Capital Markets.
Tim Rezvan : I wanted to dig into the Permian a little more, given your position, just got bigger at the start of the year with Vencer. Do you plan any similar sort of facilities work as you integrate the new assets? And I'm just trying to think how we should think about items like LOE going forward? Do you see some short-term increases to get longer-term decreases? Any big picture comments you have on sort of what's -- what you plan to do in the field this year following what you did in the fourth quarter would be helpful.
Chris Doyle : Sure. The fourth quarter facility upgrade that we saw was really about short-term pain for long-term gain and enhancing flow assurance in the Delaware. We've done similar facility upgrades and tweaks already this quarter with minimal downtime. And so, we think that's a one-off. I think importantly, as we think about Vencer and the integration efforts that have kicked off, much different than with Tap Rock and Hibernia. We have the platform in place. We have a leadership team in place along with all the supporting support staff that will drive a successful integration. These are assets that the team is very familiar with the basin that they've worked for a long time. I think we've shown as we've exited the year and moved into this quarter, assets are better in our hands. And I'm excited to see what the team can deliver. I'm most excited to be able to accelerate the integration with Vencer and see what the assets can deliver. We don't see any similar sort of one-off facility upgrades like we experienced in October, November. But this is also a team that's going to look for every single way to optimize the business. Hodge, anything you would add?
Hodge Walker : Just adding a bit of color to Chris' commentary. The work that was done there during the October-November time frame was really all about debottlenecking, optimizing flow assurance and minimizing downtime. And that work really was associated with some specific facilities and that's behind us. And that's proven by the way that we exited the year at 120,000 barrels a day for the month of December and the strong entrance into this year. The team is always looking for opportunities to optimize things. But at the same time, we will look for efficiencies everywhere we can.
Chris Doyle : In terms of cost structure, sorry, just getting to the second part of your question. We exited the year with all-in cash costs around 950 or so just over 950. That's right at the middle of our guide for 2024. There are likely some synergies that have not been baked into that number with Vencer volumes coming over, but we feel very confident in how we exited the year. And as we lay out a very low and competitive cost structure in '24.
Tim Rezvan : And then as my follow-up, I wanted to ask here in Colorado there was a proposal that came out recently, SB24-159, where some of the democrats in the state are proposing a phase out of drilling towards the end of the decade. I know it's early stages, but can you talk about what you collectively as the industry are sort of doing in response to this proposal?
Chris Doyle : Sure. I'll kick this off and then kick it over to Hodge. A similar push was occurred about a year ago. The governor came out very strongly in opposition of that measure. They tried to go through a ballot initiative, didn't get the signatures, didn't get the financial support. Here it comes again this quarter. We don't think it's going anywhere. We're actively engaged at all levels within Colorado. And Hodge any additional color on where that sits today?
Hodge Walker: Yes. Kind of building off of that to your point on where the industry is. We with the industry continue to work with our -- with the trades and work with the legislature. I think one of the things to note here is there doesn't appear to be a whole lot of support sitting in the legislature right now. As Chris mentioned, last year, the governor came out against this bill. Earlier this week, he came out with his greenhouse gas road map. And in that road map, he mentioned that a production phase out at the scale large enough to make any meaningful impact would really drive up cost of living for many Coloradoans, which really can't afford that kind of an increase to living costs. So I think that gives you a sense of his indication of where he stands, which is similar to where it was last year.
Operator: We'll move next to Leo Mariani at Roth MKM.
Leo Mariani : I wanted to just follow up a little bit on the Permian here. It certainly feels like there could be a lot of low-hanging fruit from an operational perspective. I know you haven't really baked in any efficiency in the 2024 program. But I was hoping maybe you looked out around a year or so from now. I mean, just trying to get a sense of what type of improvements could materialize? And could we see something like up to a 10% reduction, like D&C cost per foot? And are we also likely to see just improved EURs out there as well to get the double whammy. It feels like there's kind of some low-hanging fruit here and I'm assuming you guys maybe have some internal targets about what you might do over say the next year.
Chris Doyle : I'll kick us off here. I appreciate the question. I think first thing I would say is look how Civitas has managed and developed the DJ. And those lessons don't necessarily stop at the border as we go south into the Permian. This is a team and a leadership team that is focused on returns. It is focused on continuous improvement and we are super competitive. Take that mindset into the Permian. We've built this -- built out the team, and they have -- they are very like-minded. What we were focused on in our '24 guide is we've got to deliver this. There are many companies that have tried to do what we are doing and not been able to deliver. And so we did take rightfully so a conservative view into 2024. We know that the Permian is a different animal. We've got the team to execute. I think where you're guiding potential cost savings per foot, I think that's very achievable. We've got a team that doesn't want to be just part of the pack. They want to be at the head of the pack. And if that's the case, then a 10% reduction in cost per foot, getting drilling days down into single digits. That's all going to be part of it. We're just not going to come out with a plan that prebakes success because we know the pitfalls that could arise from that. So I think you're thinking about it correctly. We're excited to get another quarter under our belt and continue to build that track record, a track record that we've built in the DJ, we want to replicate in the Permian.
Leo Mariani : And then just maybe jumping over to the thought process around buybacks. I think, obviously, very successful buyback that you just announced, taking NGP out. I know it's kind of always hard to know, but I know you guys clearly have some other type of PE/insider shareholders in the stock. Is there a pretty strong appetite within Civitas to continue to maybe clean up some of these legacy shareholders that really came to the company through some of the M&A that all did over time? And how do you kind of think about that in terms of balancing debt reduction, as I know you've got the goal to get to 0.75x, but it sounds like you guys are going to be a little bit patient there. So maybe there's more firepower for more buybacks at the right time here in '24.
Marianella Foschi : Yes, absolutely. Leo, this is Marianella. I mean, look, we will continue being opportunistic. Like I said earlier, we hold that 0.75x target very true to ourselves. It's one of four pillars. Our North Star, however, it is creating shareholder value. I mean we have done market -- open market repurchases. We also have a track record of negotiating direct purchases. It's a good way of getting a lot and getting at a discount. So we -- I will note that we do have a decent amount remaining in our authorization $425 million. And we'll continue to do so. We'll continue executing at attractive prices, again, 61 and changes our weighted average share repurchase price and then obviously a meaningful discount where we are, which is still a discounted level relative to our peers and relative to the quality of our asset base. So we will continue doing both. We'll continue to do open market repurchases as well as buying in block and then just plans on where the best opportunities lie.
Operator: We'll take our next question from Oliver Huang at TPH&Co Company.
Oliver Huang : I just wanted to jump over to the DJ. As we kind of think about the uplifted EURs out of the Watkins area year-over-year that you all have kind of seen in your 2023 results. Just wanted to get a sense of what drives the confidence that the outperformance will continue? And was there something that was kind of done differently between the 2022 and 2023 programs that drove that uplift?
Chris Doyle : Sure. I'll kick this off and see if Hodge wants to add anything. Yes, ‘23 was different than '22. '22 was different than '21, '24 is different than '23. We are continually working on how do we enhance returns. Some of the big moves from '22 to '23 were around extended laterals. We had going into that risk the additional mile. And what we saw was the degradation in that third mile just didn't show up or didn't -- certainly didn't show up to the level that we had risk. That was a big driver. We are always tweaking completion design, development, spacing and how we flow back wells, how we bring wells on and the team has done a phenomenal job getting stronger every single quarter. So we've rolled some of those enhancements and improvements into the '24 plan, but it is a stark performance improvement year-over-year. I'm super proud of what the team was able to deliver. This is some of the -- this is Great Rock. These returns will compete for capital within the Permian and that's why you're seeing us allocate so much capital into the Watkins. And you couple that with three caps that will cover the vast majority of it. This is an area that's primed to deliver for Civitas for a number of years to come.
Hodge Walker : I'd just add to a couple of the points that Chris mentioned. I mean if you look at our activity set in the DJ during 2024, 70% of our activity is going to be down in the Watkins area. We've got the Box Elder CAP that's been approved. We've got a hearing coming up here mid-year on the Lowry CAP, and that's really a 2025 plus development program. We've recently filed our Arapa CAP which is more of a program that is a long-term development. We expect that CAP to be approved towards the end of this year, beginning of next year.
Oliver Huang : And just for a follow-up question. I was hoping that you could provide us a reminder with how cash taxes might look for that 2025 plus time frame, if there's some sort of rule of thumb?
Marianella Foschi : Sure. Absolutely. Obviously, for this year, we guided to 0 to 50 that's a $75 oil. A lot of that has been -- a lot of that is related to the Vencer transaction closing this year and giving us a slightly favorable tax treatment for this year. For 2025 and beyond, I would say, once we get out of 2024, what the favorable tax removal of the acquisition, as long as -- along with bonus depreciation having down over time, you'll probably see something higher probably in the range of $150 million a year and that's a $75 oil. And I will say, as a reminder, on the AMT front, we at $75 oil flat, we're not expected to hit that really in the foreseeable future, but going forward, I would say 150, 175 cash tax per year is probably a pretty good value in ballpark.
Operator: We'll go next to Phillips Johnston at Capital One.
Phillips Johnston : Just thinking directionally about first quarter volumes in the Permian. Obviously, you guys gave guidance, but presumably the exit rate of 120 day that was pretty flush. I guess if we ignore the effects of Vencer deal, would you expect your first quarter Permian volumes to be directionally down versus that exit rate? Or do you think you can sort of maintain that level?
Chris Doyle: So if you look at our full year guide of right at about 170,000 BOE per day, we anticipate a little bit of downtime, obviously, for weather in the first quarter. What we saw for Permian specifically, however, it was above our expectations for the quarter. We think as we go Q1 through to the end of the year, we'll see some increase, fairly modest and that's based on the assets outperforming coming off that strong exit into January and now February.
Phillips Johnston : And then wondering if you can share the next 12-month PDP decline rate that Ryder Scott assumed in your '23 reserve report? And would you expect that decline rate to move materially lower between now and the end of this year?
Marianella Foschi : Yes, absolutely. So for year-end, it's probably low to mid-30s on a BOE basis, we call it, 33%, 34% going forward. And it's going to depend on shape and cadence of activity, right, like if you -- if we have a lot of completions and bring online later in the year, we're early the year but other than that cadence throughout the year, I don't expect a material change in that decline on a go-forward basis for a level-loaded normalized activity plan.
Operator: We'll move next to Kevin MacCurdy at Pickering Energy Partners.
Kevin MacCurdy : Congratulations on the well-received capital number. In regards to that $150 million reduction compared to your prior number, can you help us break down that number a little bit more on the savings from well cost reduction, faster cycle times and lower well costs -- sorry, lower well count? And how much of that savings is coming from the DJ versus the Permian compared to the prior plan?
Chris Doyle : Sure. I'll kick this off here. Three primary drivers to the $150 million. The first is the early wins in terms of cycle times that we've seen across our business. That's making for a much more efficient capital program in 2024. The second is the enhanced well productivity that we saw in the DJ, that's making for a much more capital-efficient program in 2024. And the combination of those two has allowed us to tweak and to pull out a little bit of activity and yet deliver the same amount of production for less capital. The split between those three is probably fairly even, I'd say. I think there's likely more upside on the cycle time enhancements. We've not baked in anything into the Delaware or into the Vencer assets. Now let us get our hands squarely on the wheel with those assets, and we'll see how we progress through the year. And I think the other thing that Hodge touched on is we'll look for ways to accelerate TILs, and it will cause a little bit of lumpiness. That's why you see us 60% of our capital in the first half of the year because we think we can bring wells on a lot faster, and that's going to be a better return for our shareholders. But it will create a little bit of lumpiness. I'd say of the $150 million, the split between the Permian and the DJ is likely heavier weighted to the DJ, just because it's a known commodity. And I'd like to be here next quarter or a couple of quarters from now saying, hey, we're uncovering additional ways to optimize the Permian. We just haven't rolled that into the '24 plan yet.
Kevin MacCurdy : And turning to the DJ, you've laid out your plan for most of your DJ capital to be spent on the southern acreage this year. That looks like your highest return area. Do you expect that area to continue to receive the majority of the DJ capital in the coming years? And can you talk about how permitting fits into that decision?
Chris Doyle : Sure. And the short answer is yes. Those are some of our best returns in the DJ. I think it's also setting up because of the permitting situation, the Box Elder CAP approved, the Lowry CAP set to get approved this year, the Arapa CAP maybe late this year, early next that you then have really strong confidence in being able to allocate capital in that area. I would say that we're going to be -- as we allocate capital between the DJ and the Permian this stuff is going to compete. And I'd say we're 70% this year, probably 75% next year of our capital going into the Watkins area. So we're excited about it. It is a fantastic area, and we've got line of sight, clear line of sight on the permitting with the CAPs working through the system. And so yes, you'll see us really pull capital into this area over the next few years.
Hodge Walker : Yes. I'd add, if you take a look at what the remaining inventory in that Watkins area looks like, it's over 300 wells and about 80% of those are going to be covered by the CAPs that Chris is referencing.
Operator: And that does conclude our question-and-answer session. I would like to turn the conference back over to Brad Whitmarsh for closing remarks.
Brad Whitmarsh: Yes. Thanks, Audra, and certainly appreciate all the interest in Civitas today. We look forward to connecting with many of you in the following weeks as we're going to hit the road for roadshows and conferences upcoming. I hope you have a great rest of your day. Please be safe. Thanks again for joining us.
Operator: That does conclude today's conference call. Again, thank you for your participation. You may now disconnect.